Operator: Good morning, ladies and gentlemen. Thank you for standing by. Welcome to the Sherritt International Corporation's Second Quarter 2018 Results Conference Call. [Operator Instructions] I would like to remind everyone that this conference call is being recorded today, Wednesday, August 1, 2018 at 09:00 AM Eastern Time. I will now turn the conference over to Mr. Joe Racanelli, Director of Investor Relations and Communications. Please go ahead, sir.
Joe Racanelli: Thank you, operator. Good morning, everyone, and thank you for joining us today. As you know we reported our second quarter results last night. And the copies of our press release, MD&A, financial statements are available on our website, as well as on SEDAR. As is customary, we will be following a presentation that you can follow along from our website. And we will be making some forward-looking statements that you can refer to in the presentation itself. With me today are David Pathe, our CEO; Andrew Snowden, our CFO; and Steve Wood, our Chief Operating Officer will review our results in more detail. Please go ahead, David.
David Pathe: All right. Well, thank you, Joe, and good morning, everyone. It's an exceptionally busy day for reporting in our sector, so thank you everyone joining us this morning for taking the time. As Joe said, we put out our Q2 statements last night, a significantly stronger quarter for us so over Q1 in a number of respects. First off, production at Moa recovered nicely after the production issues in Q1 related to the heavy rains. I believe it was the heaviest rains we've seen in Moa in over 20 years, as well as the rail disruptions that we experienced in Western Canada, getting mixed sulphide to refinery in Fort Saskatchewan, are now well behind us and production is back to where we would expect it to be and set up well for the second half of the year. We also saw commodity prices continue to improve in the quarter, highest reference prices we've seen actually for nickel since 2013, coming off of lows of $4.50 or so a year ago. We saw nickel briefly touch $7 in June. Certainly, aided by higher byproduct credits and the strong cobalt price, we see Moa's net direct cash costs continue in the bottom quartile of low cost producers in the world. It's our fifth consecutive quarter in that bottom quartile, with net direct cash cost of US$1.68 a pound, where there is now compared to a couple years ago a nice healthy margin to be made in nickel business. Cash flow continues to come out of Moa. Moa was able to finally pay off the remaining balance on the working capital facility that comes from Sherritt. And so, we expect, in fact, we have already seen dividends from the Moa joint-venture payable to the partners resume in Q3 here for the first time in quite a number of years. Before I let Steve talk and get in a little more detail on operational matters and Andrew will speak a few highlights from finance, I just want to touch a little bit on what is happening and what we're seeing in nickel and cobalt markets. I mentioned the general upward trend we've seen a nickel prices since this time last year. You can see that in the charts on Page 6, we have seen the continued volatility that we'd expected to see. But that underlying trend for the last 12 months has been very positive. We have seen some volatility and some downward pressure on price in July in both nickel and cobalt, as global trade fears and some seasonality weighs on, not just nickel and cobalt, but all the base metals. But there is nothing that causes us to have any differing view with it, of the underlying robustness of the medium- and longer-term fundamentals for both nickel and cobalt here. Cobalt is currently trading about US$37 on the Metals Bulletin, which is the reference price we use. In Q2, the average cobalt price was about US$42, and that's up 66% from the same quarter last year. On Slide 7, you can see how various base metals have performed year to date, really just wanted to include this to highlight the relative performance of nickel to some of the other base metals. This is a bit of a shift for us really the last few years. If you look at this chart in an annual basis nickel has typically underperformed some of the other base metals. But we are now seeing the benefits of continuing strong demand and demand growth for nickel from stainless steel and beginning to be felt from batteries, with very little ability for the supply side to respond in any kind of timely basis for Class 1 nickel in particular. We expect to see that demand growth and that tightness in markets continue. I can see the effect of that that strong demand is having on inventories over on Slide 8. This shows you the combined LME and Shanghai Futures Exchange inventories for the last few years. We have seen inventories start coming down in late 2016 and through 2017. That pace of destocking from the exchanges has accelerated in 2018 and that trend continues. Total nickel stocks are down over 30% since of the beginning of the year in the back of strong demand for Class 1 nickel, and again, with very little ability for the supply side to respond on a timely basis. We expect that trend to continue. As we said before, every dollar increase in the nickel price is worth about $48 million dollars a year in cash flow to Sherritt. That nickel demand is expected to continue to accelerate on the back of the electric vehicles. We've obviously talked about this the last few quarters. Nickel demand for batteries still actually forms a relatively small part of global demand, but that is expected to grow significantly in the coming years. Thus far, electric vehicle demand growth is unfolding as expected. You can see on the charts on Page 9, so it's really being led by China and to some extent Europe, global electric vehicles sales there you can see in the left hand side, up over 130% in China year over year in Q1 of this year. And that's in line with what our expectations were and we expect to see that growth continue. As we've talked in the past, batteries do require Class 1 nickel, so nickel pig iron and ferronickel are not suitable for use in batteries. And so, that limited supply of Class 1 we think is where the real demand growth is going to come, where supply tensions are going to be felt in the next few years. With that, I'll come back at the end and just speak about a couple things that are going on now. But I'm going to let Steve give you an update on how operations went in the quarter.
Steve Wood: Okay. Thanks, Dave, and good morning, everyone, on the line. As always, I'll start with a few points on our safety performance at Sherritt. We continue to work hard to ensure that all employees are going home safe and healthy every day. And [through our] [ph] fatality prevention and safety leadership programs, we're realizing significant progress. Thus far in 2018, we've experienced only 2 lost time incidents, which compares favorably to the 8 that we had at the same point in time 2017 [ph]. Our low recordable injury and lost time injury frequency rates put us squarely in the best quartile of our peer group. Now, turning over to our production result slide, Slide 11, I'll start with the Moa J.V. first. On a 50% basis, Moa produced 3,749 tonnes of nickel and 388 tonnes of cobalt in the quarter. That's a considerable improvement from our first quarter of this year, signifying that the challenges as Dave mentioned that causes the low delivery of mixed sulfides to the refinery have been resolved. As I mentioned before, Q1 issues is just for your - just as a refresher, they were the result of record rainfalls and rail delivery delays in Western Canada that were experienced by many companies with operations in Western Canada. Overall, our performance in the quarter was strong, even with the annual planned shutdown of the refinery in Fort Saskatchewan that occurred in the quarter. Our cobalt production in the quarter declined from last year, largely because of a modest change in the nickel to cobalt ratio. I should point out that that nickel to cobalt ratio of 9.7 to 1 in the quarter was well within our historic norms and does vary from time to time. Turning to our unit cost at Moa, NDCC was $1.68 per pound and that's down 34% from last year. The decline in NDCC was largely driven by higher cobalt prices. In the second quarter, we generated a cobalt byproduct credit of US$4.42 per pound. And that's up 51% from the US$2.92 in the same period of last year. In the quarter, we started the rollout of a new fleet of mining equipment. With the deliveries now virtually completed, we anticipate more reliability of a mobile fleet at Moa and more efficient transportation of ore to the slurry prep plant. Now, turning to Ambatovy, where our nickel production in the quarter was 1,147 tonnes, while cobalt production was 99 tonnes. Similar to what we witnessed at Moa, production at Ambatovy in the quarter showed a marked improvement over the first quarter. The gains were largely as a result of efforts to improve plant reliability, particularly at the acid plant, where a failed economizer in Acid Plan 1 was replaced on time and on budget. Our commitment to improving production stability and acid plant reliability will continue in the second half of the year through efforts that to improving autoclave availability and replacing the economizer in Acid Plant 2. The repairs in the economizer replacement well, however, require a plant shutdown for a period of approximately seven days in September. And currently both Acid Plants 1 and 2 are operating at just a little over 100% of capacity - of nameplate capacity, I should say. Despite the anticipated repairs and shutdown, we continue to expect that to production in the second half of the year will be much stronger than the first six months of the year. And Andrew will review our updated guidance in more detail during headed discussion. During - turning to NDCC, Ambatovy's unit cost in the quarter was $3.14 per pound and that's down from the $3.66 per pound last year, and as with most of the improvement was largely driven by higher production and improved cobalt byproduct credits of 45%. Now turning to Slide 13. With our nickel price is expected to climb through 2018 and beyond. The advantages of being a low-cost high purity producer will become more apparent in our financial results over the next several quarters. If we look at the NDCC cost curve for the industry on the slide you can see that Moa's NDCC for the first six months of the year was a $1.84 per pound putting us in the lowest cost quartile. This was achieved even with the production challenges that we experienced in Q1 of this year. Although production challenges have been more acute it, Ambatovy's NDCC for the first six months was $3.85 per pound, and that puts Ambatovy firmly within the second cost quartile. By way of context the 50th percentile mark was capped at $4.15 per pound. Ambatovy's NDCC through the first six months should help everyone get some perspective on its potential to become - to be a low cost operation given that we expect production in the second half of the year to be greater than the first. Now turning to our Oil and Gas operations, we produced 1,821 barrels of oil equivalent per day on a net working-interest basis in the quarter. This total marked a decline of approximately 80% from last year, when we produced 8,805 barrels of oil per day on a net working-interest. The decrease was due to a number of factors: the most notable being the expiration of the Varadero West production sharing contract in November as well as the decline in profit oil percentage from 45% to 6%. The decrease was also due to the natural decline of our maturing fields has to be expected the decrease in the number of barrels produced had a negative impact on our unit cost and our unit cost in Cuba for the quarter were $16.10 per barrel and that's up from the $9.95 per barrel for last year. Our unit costs, however, benefitted this year from a strengthening Canadian dollar relative to the U.S. currency in the quarter. Now turning to the Power division, we produced 204 gigawatts of electricity in the quarter and that's down marginally from last year, when we produced about 220 in the same period. The decline was largely due to reduced availability of natural gas that we used to produce that electricity. And as with the Oil and Gas division, our unit costs were positively impacted by the appreciation of the Canadian dollar relative to U.S. currency, as labor expenses, there are denominated in U.S. dollars. That concludes my review of the operational results. And with that, I'll pass it on to Andrew.
Andrew Snowden: Okay. Thank you, Steve, and good morning, everyone. I've just got few slides to talk for today and I'll start from Slide 17, and just provide some commentary on our cash balance and cash movements during the quarter. I mean, Dave spoke earlier about the upward trend in the nickel price, and Steve about our improved production results, and these just combined to produce improved quarterly adjusted EBITDA of around $50 million in the quarter, which compared to about $35 million in Q1. I did however the highlights on our Q1 earnings call that stronger EBITDA wouldn't necessarily be reflected in our cash balance in Q2, mainly because of seasonal impacts and working capital changes, which generally always a result in the second quarter being a softer quarter from a cash perspective. And you can see in the waterfall here, some of the key drivers behind the cash movement between March 31 and June 30, where cash declined from approximately $240 million down to approximately $200 million. I'm just working through the key items on the waterfall there and then, firstly, interest on our debentures, typically the higher interest quarters are Q2 and Q4, so we roughly have $16 million, $17 million of [Technical Difficulty] Q2 and Q4 with a lower amount of around $8 million now with our new debt numbers in the first and third quarter, so we have the higher interest payments in Q2. Secondly, there is a fairly negative working capital change that we generally see in the second quarter and that's really driven by timing of cash flows linked to our fertilizer sales. And now, fertilizer sales are both at the Sherritt Fort Site operations and within the Moa Joint Venture. In general, our fertilizer customers do actually prepay for the fertilizer sales, so most of the sales happened within the Q2 spring sale season, and then the Q4 for the full fertilizer season. Most of the cash is actually received during the Q3 and Q4 period with some of the cash received in the first quarter. So, generally speaking, we received very little cash from our fertilizer customers in the second quarter and that's really what drove the negative working capital changed. The next item is $10 million cash outflow relating to another focus on repurchasing some additional debt, so we took out another $10.7 million of debt in May, and we paid $10 million for that, and I'll come back to that momentarily on the next slide. And then the final significant outflow here relates to capital expenditure, which primarily relates to our oil and gas Block 10 drilling activities, in terms of making sure we have the equipment on site for the drilling activities, which commenced in early July. These outflows were offset by $9 million inflow, which we received from Moa and that's on the working capital facility, which we provided to the Moa Joint Venture. The Moa working capital facility is now fully repaid, and as Dave mentioned before. I expect that will now and it has already been a case through the month of July, we will start to receive dividends from Moa based on their available free cash flow. So looking forward now for the balance of the year into Q3 and Q4, I do now expect our cash balance will increase in the second half that will now reflect to be our improved production performance and the improving commodity price environment. Turning now to Slide 18, just a few comments on our debt reduction, so I mentioned that $10.7 million of debentures, which we took out in May is consistent with our key pillar of our strategy, and I'm focused on strengthening our balance sheet. So through to June, we have reduced our debentures by around $130 million year-to-date. Since 2014, we've eliminated $2 billion of debt. And you can see some of the key highlights now on the slide in terms of some key debt metrics showing a significant reduction on net debt over the past 18 months. And then also one of the key metrics we look at which is net debt to EBITDA, and you can see that even from December to June based on the debt reduction that we've implemented that ratio has improved by over one-time. Turning to Slide 19. Just a few comments on our Cuban energy receivables, and you'll see in this chart, we received around US$25 million during the quarter. The overdue balance at June 30 was approximately $137 million. We continue to be engaged in discussions with the Cuban government to reduce this overdue balance. Although these discussions did slow down a little in the second quarter due to changes, which were announced in the new President's cabinet, which were only concerned in the last two weeks, this did result in several new ministerial appointments. And we'll look to engage with those new ministerial appointments over the coming weeks to continue with these discussions. As always being the case with these receivables, we continue to expect will fully collect on these overdue amounts. The final slide, which I'll talk to you with on Slide 20. In earlier, Steve mentioned, we've updated some of our guidance for the year and you'll see the key changes highlighted on the slide. First, will be updated both our production and NDCC guidance from Ambatovy, and that was to reflect operating performance to date, and also initiatives we have planned which Steve referred to in the second half of the year aimed to improving acid plants reliability and also trying to achieve improved stability in the autoclaves. It's important to note that the guidance here is presented on a 100% basis, and to remind everyone we now have a 12% interest in Ambatovy, and so these changes won't have a significant impact on our financial results. What is very important to note is that beyond the 1.7 U.S. we have in escrow, we do can - which is amount in escrow for future cash calls, we continue to expect that Ambatovy will be no cash in or cash out for the next few years. You would have also noted that we did not make any changes through to our Moa guidance, both from a production and NDCC perspective. And we remain confident that we will - as we noted in our Q1 earnings call that will be happy the low end of the range for the year. The new trucks, which Steve mentioned have been delivered, and then the increased our stockpile, which we've managed to build up on site, which will allow us to better manage through any rainy season that we encounter through the second part of the year. It puts us in a good place to ensure that we feel confident. We'll still be able to achieve that production guidance. Finally on Oil and Gas, I'm just a change back to the CapEx outlook or CapEx guidance for the year, we've reduced that guidance from around US$40 million to US$ 25 million. I mean, that reduction reflects that the deferral of further equipment purchases and drilling activities, which initially we have built into our guidance and we're holding any of that additional CapEx, so we see the results from the current Block 10 well that's in the process have been drilled. That concludes my remarks on the financial results. And I'll turn the call back over Dave for his some final comments.
David Pathe: Okay. Thank you, Andrew. I want to just give you a quick update and a couple things that are going on now before we take your questions. The first is Block 10, and as Andrew just mentioned, we are now back at drilling on Block 10. As a quick reminder, this - the new block in just to the east of Varadero and just to the east of the Varadero West contract that expired last year, so we are pursuing an oil reservoir that we drilled on 20 years ago and from a drill jack out in the bay and have an oil discovery that produces a significant rate for at least short period of time. We've had a couple of attempts at attacking that reservoir now from onshore and had difficulty from a geological perspective, actually getting down to that reservoir. As we've encountered losses and circulation the drilling mud that we have yet to be overcome. As we talked about in Q1, we have now identified a new technology of expandable casing that gives us the ability to run an extra string of casing and still maintain a sufficient hole diameter to be able to get enough torque on the drill bit to be able to get down to the total depth. Through the second quarter, we were in the process of getting all of that the technology and supply that we need for that on site, and getting the rigs set up again in early July, we did resume drilling on the block. As we did before, we actually are reusing the first 3,600 or 3,800 meters of the hole, and so in early July we broke again out of casing and plugged off the well, and resumed drilling two or three weeks ago now. So far drilling is progressing as we expect, we have not yet reached the areas, where we encountered in the zones in the formation, where we experienced the losses in circulation in past attempts. It's difficult to predict the pace of drilling, but so far it's going as planned and if things go as we expect. By the time, we're back to report to you again on Q3, if not before we should have some additional loose as to how things are unfolding on Block 10. The diagram on Slide 23, it can show us a bit more detail of the new technology that we have access to now with this expandable casing. Where the expandable casing does is give us the ability to effectively run one more string of casing into seal off and protect the hole from collapse or from losses in circulation, because we can maintain significantly greater hole diameter with this expandable casing, it does give us the ability to put in one extra string of casing. So as we encounter these loss circulation zones, we can press ahead through them and then seal them off by inserting casing rather than trying to seal them off with various agents that we talked about when we were doing this a few months ago. So we're optimistic now that this we have another - we have access to this new solution that we can overcome the geological challenges that we've been dealing with in our attempts to drill in Block 10 over the last few months. And that we should be able to successfully get down into that reservoir that we tapped into 20 years ago from the jack out in the bay, and be able to show you some results of what we're actually going to find down there, so more to come from us on that over the course of the next quarter. Lastly, I want to just briefly highlight since we issued the press release during the quarter is, the work we've been doing on upgrading a bitumen. Those of you that would have made if tuned into the Investor Day that we had Fort Saskatchewan a little over month ago would have heard us get into a bit more on this. But I just want to highlight this again for you, because I really think it best demonstrate the technical capability and capacity for innovation that exists in our technologies group. Bitumen producers in Western Canada is obviously a big industry for Alberta. And the products has been produced there's a very heavy high viscosity product that actually needs to be thinned with the diluent thinning agents to actually make it liquid enough to be able to pump through pipelines. The industry out there currently spends about $6 billion a year on diluents, which takes up pipeline capacity and really has nothing value to the processors just to make it sufficient liquid to flow through pipelines. Through the use of autoclave technology, we have actually developed a process of upgrading and lightning bitumen that doesn't actually require removing carbon from it like most other elements of bitumen upgrading at this point in time. So we lose no volume and through by injecting hydrogen and using our technology in autoclaves. We can actually induce a chemical change that lightens the bitumen and makes it lower the viscosity sufficient it can be used through pipelines and save the industry $6 billion a year in diluent costs. And increased pipeline capacity, because no longer having to pump the diluent all over the place. We continue to work in progress this in terms of trying to do the engineering, as to what a demonstration plant might look like. We are engaging conversations with a number of different bitumen producers about what a partnership to demonstrate this might look like. And we will have more to say on this, I expect in the quarters ahead. I think it is a testament to our technological capability and expertise that exists in our technologies group out in Fort Saskatchewan, and does have the potential though it's early days yet to be a real source of long-term value for the company. So I wanted to just highlight that for you again. Happy to answer any questions on that or anything else, you may like to talk about. And so, with that, operator, we will take any questions anyone may have.
Operator: Thank you. [Operator Instructions] And we'll go ahead with our first question from Mr. Greg Barnes of TD Securities. Please go ahead.
Greg Barnes: A question for Dave and Steve, I guess. I agree the fundamentals for nickel have improved significantly. So what can you do to benefit from that more than you already are? What can you do to push production at Moa and get it up above the current guidance, if anything?
David Pathe: Well, certainly, we're going to be targeting, given though the first quarter we have I think we're still realistically looking at trying to be at the low-end of our guidance that we put out there for the year. We do have a pretty full pipeline of mixed sulphides now coming through to Fort Saskatchewan. And we are getting access to a little incremental feed out of Punta Gorda, which is the wholly-owned nickel asset of the Cubans just next door. So we are pretty well placed to keep the refinery running at full capacity for the rest of the year, with the mining fleet there. We also have the capacity now to get into the best ore zones, that was partly what impacted Q1 production. So we are, we think, as well positioned as we can be, to have the refinery running at pretty much flat out for the for the rest of the year. And we'll put up as good a number we can based on that. We do have the expansion that was under way many years ago, of which the acid plants that we built a couple years ago and slurry prep plant that's underway now, are elements that do longer-term give us the ability to increase the capacity. But that would obviously require capital. And there isn't any immediate plan on that as of yet.
Greg Barnes: So, Dave, just remind me, what would that expansion of taking capacity at Moa up to?
David Pathe: That expansion was going to take us - there was a couple of phases to it, if you remember, Greg. When we completed the first phase, it took us up to about 35,000, 36,000 tonnes of nickel and cobalt. The expansion, if it was completed in full, would take us up to about 43,000, 44,000 as I recall.
Greg Barnes: Okay. So phase one, that was not completed, was it?
David Pathe: That was. Actually, that's what gave us about an extra 2,000 or 3,000 tonnes. And that was done 10 years ago now, before the financial crisis hit.
Greg Barnes: Okay, so the actual - the nameplate capacity of Moa is 35,000 to 36,000 tonnes currently.
David Pathe: Right, nickel and cobalt combined.
Greg Barnes: Oh, nickel and cobalt combined, okay. And what is the actual full design capacity in Fort Saskatchewan?
David Pathe: I'm looking at Steve. I don't know that number off the top of my head. I know there is a slight extra capacity at the Fort, compared to Moa's capacity.
Steve Wood: It's in the range of about 38,000, 37,000 to 38,000. And we - yeah, we would fill the rest with third-party feeds if we can get them.
Greg Barnes: Right. So if you went to the second phase of the expansion at Moa to 43,000, 44,000, you also have to expand the Fort as well.
David Pathe: That's correct.
Greg Barnes: Do you remember what the CapEx numbers you were talking about at that the time? [I don't know, is it] [ph] 10 years ago?
David Pathe: They are, yeah, they're 10-years-old. And we've looked at them now, but I don't have any update for you on that that would be sufficiently right to talk about today.
Greg Barnes: Okay. Do you think there is a time, Dave, when you'd start to think about actually going ahead with this, the phase 2?
David Pathe: I think we're certainly closer to that than we were a couple years ago, I guess, as you still need a bit higher nickel price than we are at today. And that potential is there, which we're still keen on seeing our balance sheet strengthen and getting to the point where we've got that kind of cycle-proof balance sheet that we talked about. But there is opportunity to do there at something and sometime in the future if circumstances make sense.
Greg Barnes: Okay. Great, thank you.
Operator: [Operator Instructions] And we'll now take our next question from Kevin Cohen of Imperial Capital. Please go ahead.
Kevin Cohen: Good morning and thanks for taking the question. A very nice quarter. Just a couple of things kind of related to the credit profile. I guess, first, when you think about prospective free cash flow generation at this point, would you say it will be more focused on building up cash on the balance sheet versus incremental bond repurchases potentially or maybe an alternative use?
David Pathe: We'll see how the cash flow develops in the second half of the year. As Andrew mentioned, we're certainly expecting to see cash balances increase over the second half of the year, based on where nickel prices are and where we're anticipating them going. We did buy back a little bit of debt in the second half of the year. If we had opportunities to do that opportunistically again, we will certainly look at that. What we're finding and what others may have found actually in the bonds that there is - the bond - market for the bonds now is pretty tight. There's not much liquidity in the bonds. But as we see what our cash position looks like over the course of the year and what the bond availability looks like, certainly seeing our debt position and our overall balance sheet continue to improve is continues to be a priority for us. We'll just see what the second half of the year brings.
Kevin Cohen: And then, switching gears, looking at Moa, the comment about dividends to resume in 3Q 2018, I guess, could you sort of quantify what that would mean if the cash flows, let's say, from the second quarter were to continue just to kind of help give the audience and myself, include a little bit of an order of magnitude and what that would mean for the company?
David Pathe: I'm looking at Andrew to see if he can give us any better a sense of that. There is obviously kind of quarterly fluctuations in that. But let us see if Andrew has any he can add to that.
Kevin Cohen: Yes, yes…
Andrew Snowden: Yeah, look, I think I'm - yeah, and, Kevin, kind of forecasting exactly what those dividends will be - is difficult, just because it's clearly dependent on commodity prices and production numbers and various other variables. I mean, ultimately, now, that the working capital facility is paid down and Moa itself has sufficient cash levels to be able to continue their operations or free cash flow that Moa generates is pretty much split 50-50 between Sherritt and GNC. So in your modeling, if you look at what those free cash flow numbers will be, you can assume that roughly 50% of those will come to Sherritt as dividends.
Kevin Cohen: Got it. And then, switching back to the credit profile again, when you kind of think about the capital structure at this point, do you think about something perhaps a little bit more transformative in terms of terming out debt regarding - the [cycle is favorable, the cash] [ph] looks good and the credit markets are fairly open, and the '21s are callable at par currently and the '23s become callable next year in September, just a little over a year from now at par. So I guess, how do you guys kind of think about that dynamic to more transformatively term out debt?
David Pathe: I mean, that is something that we will look to do, as we get closer to those maturity dates. Actually, they're only callable at par in their final year before maturity. So the '21s don't become callable at par until Q4 - sometime at Q4 2020. Up until that time there is a make-whole provision on them, that can be more expensive. Debt markets are better than they have been for resource companies. I mean, obviously, our position is still somewhat different from others in that we don't have access to be U.S. market. So it's not as wide open for us as it is. But we do look at a variety of scenarios in terms of our ability to generate cash in the next couple years. And at what point in time, we could try and do something that would give us a bit more flexibility in that balance sheet. We do still have the benefit, obviously, of the deal we did a couple years ago to term out those maturities. We are still more than three years away from our first debt maturity in the 2021s in Q4, so we've got some time to work on that, and see how the - as the world unfolds. But certainly, balance sheet management has been a focus here for the last few years and will continue to be.
Kevin Cohen: Thanks very much. I appreciate the thoughts and continued best of luck.
David Pathe: Thanks for the questions.
Operator: [Operator Instructions] And there are no further questions at this time. I'd like to hand it back over to Mr. David Pathe for closing remarks, please.
David Pathe: All right. Well, thank you once again, everyone, for taking the time to join us. As I say, I think there were five companies out reporting last night. And so, I know people are scrambling today to get through a lot of information. Happy to talk more, as Joe and others are around, in the days ahead here as you manage to find the time to unpack it all. In any event, we will speak to you again in October, when we get together to discuss Q3. In the meantime, enjoy the rest of summer. Thanks very much, everyone.
Operator: Thank you. This concludes today's call. We thank you for your participation. You may now disconnect your lines and have a wonderful day, everyone. Bye.